Operator: Good day, everyone and welcome to Charles River Associates Fourth Quarter and Fiscal Year 2020 Conference Call. Today’s call is being recorded. Today’s release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relations section of CRA’s website at crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Mahoney for opening remarks. Please go ahead, Dan.
Dan Mahoney: Thank you, Rob and good morning everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin and any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the extent and duration of the impact of the COVID-19 pandemic on our financial condition and results of operations. Additional information regarding these factors is included in today’s release and in CRA’s periodic reports including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today’s release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Dan and good morning, everyone. Thank you for joining us today. I hope everyone is staying safe and healthy. CRA’s fiscal 2020 topped a record setting fiscal 2019 as revenue increased by 13%. This growth was balanced across our lines of business, with legal and regulatory expanding by 15% and management consulting increasing by 7%. This balance was also observed geographically as our North American operations grew 14%, and our international operations increased by 7%. In addition, CRA continued to grow profits with non-GAAP net income, earnings per diluted share and EBITDA growing by 8%, 11% and 15%, respectively. During the fourth quarter, we experienced strong demand across our portfolio of services as every practice grew year-over-year, contributing to the firm’s 15% year-over-year revenue growth. We also achieved double-digit revenue growth across both our North American and International operations. For the firm as a whole, headcount increased 6.7% year-over-year and utilization reached 70% in the fourth quarter. Most importantly, CRA’s top line expansion during the fourth quarter resulted in profits growing faster than revenue as non-GAAP net income, earnings per diluted share and EBITDA grew year-over-year by 22%, 23% and 24%, respectively. Moreover, the fourth quarter of fiscal 2020 marked our 20th consecutive quarter of year-over-year growth. Over this 5-year period, CRA’s revenue has grown by 70% with non-GAAP net income, earnings per diluted share and EBITDA growing substantially faster at 165%, 205% and 104%, respectively. I would like to now spend a few minutes highlighting some of the services provided during the quarter. Within legal and regulatory, our Antitrust & Competition Economics practice grew revenue by double digits and recorded its highest quarterly revenue ever, as M&A markets continue to rebound from pandemic lows. Worldwide deal-making during the second half of 2020 increased by 90% compared to the first half of the year and marks the strongest second half for deal-making since records began in 1980. Against this backdrop, CRA worked on transactions across a range of industries and geographies. For example, during the fourth quarter, colleagues from our European Competition practice advised Uber on its acquisition of a majority stake in Corner Shop as it received unconditional approval from the Mexican Antitrust Agency. Additionally, our Competition & Antitrust Economists worked for a consumer products company and its defense against claims by competitors and a class of buyers that its contracts harmed competition and allowed the company to maintain monopoly power. Looking more broadly at the legal market, total case filings continue to rebound after year-over-year declines in Q2 and Q3 of 19% and 16%, respectively, total case filings in the fourth quarter were down only 4% year-over-year, focusing on a subset of litigation matters that more closely aligns with CRA’s services, case filings actually increased by 2% during the fourth quarter. Within the courtroom, the number of total judgments during the fourth quarter, were down approximately 14%, relative to the fourth quarter of 2019. Again, this reflected improvement from the 34% year-over-year decline observed in Q3, but it continues to suggest that court rooms remain constrained in their ability to handle normal litigation case loads. In light of these market conditions, the performance of our legal and regulatory services during the fourth quarter is especially remarkable. As previously noted, every practice grew revenue year-over-year, with our Antitrust & Competition Economics, Financial Economics, Forensic Services, Intellectual Property, Labor & Employment and Risk, Investigations & Analytic Practices expanded by double-digits. The Intellectual Property practice advised on multiple high stakes patent and trade secret matters covering a broad range of industries, including homeland security, financial services, social media, medical devices, software and computer hardware. Our IP experts successfully testified in multiple trials during Q3 and Q4, ranging from all virtual proceedings to live jury trials with COVID protocols. Notably, a CRA IP expert helped secure a favorable damages verdict in a patent jury trial in the eastern district of Texas, involving voice-activated smart speaker technology enabled by a cloud-based artificial intelligence system. In another matter involving a patented drug formulation, the Court of Appeals for the Federal Circuit affirmed $100 million of damages that was awarded by the jury upon the testimony of the CRA expert. Our Forensic Services practice continues to experience strong demand from companies that need help responding to allegations of financial statement fraud, cybercrime, money laundering, bribery and other types of misconduct. For example, in connection with allegations of a complex securities and accounting fraud scheme at a publicly traded transportation company, CRA’s was to assess claims that the books and records have been falsified. In connection with cyber incident response needs, the Forensic Services practice was retained by a broad range of clients, including a global insurance broker, a managed service provider and a national healthcare organization to contain and eradicate malware, identify confidential data at risk and respond to clients and regulator requests. The practice is also increasingly being called upon to navigate cryptocurrency and other blockchain applications as we investigate alleged misconduct. For example, when an NFL football player claimed to have lost tens of millions of dollars by trading in cryptocurrencies, the practice was retained by the bankruptcy trustee to trace these cryptocurrency investment transactions in order to assess whether recoverable assets existed. During the fourth quarter, the Risk Investigations & Analytics teams continued to build capacity and momentum, executing several multi-jurisdictional investigative assignments. We assisted a major Swiss Bank in response to a multibillion-dollar DOJ PAREA investigation and lawsuit related to securitization practices and conducted transaction-related due diligence for Underwriters Council related to both traditional and SPAC IPOs. Next, I’d like to turn to our management consulting services. Our Life Sciences practice continues to lead the way, recording double-digit revenue growth year-over-year. During the quarter, CRA conducted a detailed physician segmentation project for a European pharma company to support its new drug launch, leveraging our expertise in market research, CRA provided detailed insights into physician traits, attitudes and behaviors via our analytics team, these insights were subsequently transformed into key differentiators that determined that target segments and go-to-market plan for the new product. Our Mericon practice is supporting a newly appointed CEO on and the board of a major European insurance company to renew their enterprise strategy, align it with renewed sustainability and ESG objectives, and reshape its portfolio to ensure value maximization for the long term. Mericon continues to partner with a leadership team of a leading paper and packaging company on its annual review of portfolio strategy and priority setting. The ongoing relationship has resulted in leading business position and performance during this turbulent time for the industry. I am grateful to all of my colleagues for their hard work as we helped our clients address their most important challenges while adapting to a COVID altered environment and still delivering strong financial results. For the full year, on a constant currency basis, we exceeded our revenue guidance of $498 million to $504 million and achieved the upper half of our non-GAAP EBITDA margin guidance range of 9.7% to 10.2%. Recapping our fiscal 2020 financial performance, revenue on a constant currency basis was $507.9 million, consisting of $508.4 million of reported results, less $0.5 million adjustment for currency tailwinds relative to fiscal 2019. Full year non-GAAP EBITDA and non-GAAP EBITDA margin were unchanged on a constant currency basis at $50.7 million and 10.0%, respectively. Our fiscal 2020 financial performance demonstrates our continued success in the marketplace. We will look to build on our trend of broad-based profitable growth in the years ahead. For full year of fiscal 2021, on a constant currency basis relative to fiscal 2020, we expect revenue in the range of $530 million to $550 million and non-GAAP EBITDA margin in the range of 9.5% to 10.2%. While we are pleased with CRA’s strong performance in 2020, we remain mindful that short-term challenges arising from uncertainties around global economic business, health and political conditions can affect our business. Before I turn the call over to Chad and Dan, I would like to provide a few thoughts on CRA’s capital allocation philosophy. CRA remains committed to maximize long-term value per share through the prudent deployment of capital, given CRA’s strong cash flow generation, we expect to invest in the business for profitable growth while simultaneously returning meaningful capital to our shareholders. Annually, over the past 5 years, we have returned, on average, $25 million through a combination of share repurchases and dividend payments. This equals nearly 40% of our adjusted net cash flows from operations. Looking forward, we aim to increase this payout and return half of our adjusted net cash flow from operations to shareholders while still investing in the growth of CRA. With that, I will turn the call over to Chad and then Dan for a few additional comments. Chad?
Chad Holmes: Thanks, Paul. I want to provide a few comments about our capital deployment during the quarter. As Paul referenced, against a challenging economic backdrop, CRA again generated strong cash flows. For fiscal 2020, CRA’s adjusted net cash provided by operating activities was $97.1 million or 19.1% of fiscal 2020 revenue. Our adjusted net cash provided by operating activities was 57% higher than a year ago, driven primarily by the growth in our business and reduced SG&A spending. Tying back to the 5-year period referenced earlier, we have seen our adjusted net cash provided by operations grow by 178%. During the fourth quarter of fiscal 2020, we spent $1.4 million on capital expenditures as we completed our office build-outs in New York, Oakland, Toronto and Zurich. In total, we spent $17.1 million on capital expenditures for fiscal 2020. For fiscal 2021, we expect to spend less than $5 million on capital expenditures. As Dan will describe in greater detail, during the quarter, we repaid $38 million of our borrowings under our revolving line of credit to bring our outstanding debt to 0 as we have ended in prior years, while our cash balance increased by $21.6 million during the quarter to end the year at $45.7 million. We also returned $6.7 million of capital to our shareholders during the fourth quarter, consisting of $2.1 million of dividend payments and $4.6 million for share repurchases of approximately 91,000 shares. For the full year, we returned a total of $20.9 million to our shareholders through a combination of share repurchases and quarterly dividends, demonstrating our confidence in our long-term outlook and our commitment to returning capital to shareholders. Further supporting this view, as announced on February 10, CRA’s Board of Directors authorized an expansion to our existing share repurchase program of an additional $40 million in value of shares of common stock. Based on Q1 share repurchase activity through yesterday, March 3, and reflecting this recent expansion, we have approximately $41 million available under our share repurchase program. And now I will turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under Prepared CFO Remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the fourth quarter of fiscal 2020. In terms of consultant headcount, we ended the year at 831, which consisted of 137 officers, 471 other senior staff and 223 junior staff. This represents a 6.7% increase compared with the 779 consultant headcount reported at the end of fiscal 2019, non-GAAP selling, general and administrative expenses, excluding the 2.3% attributable to commissions to non-employee experts, was 13.9% of revenue for the fourth quarter of fiscal 2020 compared with 18% a year ago. This quarter’s ratio was positively impacted by the strong revenue for Q4 and effective management of our overhead. Additionally, travel and entertainment expenses were significantly lower year-over-year, primarily due to ongoing travel restrictions in various jurisdictions and work-from-home policies. We will continue to monitor our discretionary expenses to properly manage risk and proactively mitigate the financial impacts related to the pandemic. The effective tax rate for the fourth quarter of fiscal 2020 on a non-GAAP basis was 26.2% compared with 22.8% on a non-GAAP basis for the fourth quarter of fiscal 2019. The increased rate in the fourth quarter of 2020 was primarily attributable to a lower benefit arising from the accounting for stock-based compensation. Turning to the balance sheet, DSO at the end of the fourth quarter was 102 days compared with 113 days at the end of the third quarter of fiscal 2020. DSO in the fourth quarter consisted of 73 days of billed and 29 days of unbilled. The company’s liquidity remains strong, totaling approximately $221 million when taking into account the available capacity on our recently expanded revolving line of credit and our cash balance. Looking more closely at the components, during the fourth quarter, we paid down $38 million on our revolving line of credit to bring the outstanding balance to 0 at the end of Q4. We concluded the fourth quarter of fiscal 2020 with $45.7 million in cash and cash equivalents, with the majority residing internationally. Lastly, I would like to provide a brief update on our internal control over financial reporting. As discussed more fully in our 10-K, which we filed this morning, we are pleased to report that as of the end of fiscal 2020, we have remediated our remaining internal control material weaknesses. The team worked hard to execute the remediation plan detailed in our fiscal 2019 10-K and we remain committed to maintaining effective internal control over financial reporting. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Hi, good morning. You noted record revenue in the Antitrust Practice in the quarter and spoke to several key engagements, which is obviously great to hear. I am wondering if you could speak to project sizes in that business right now? Would you say engagements are outsized relative to typical averages or is it pretty consistent with previous periods?
Paul Maleh: Good morning, Andrew. Our Antitrust & Competition Economics practice really had a fantastic year, quite frankly, working virtually in less than ideal conditions. The practice enjoyed success both here in the United States and also abroad average practice size during – average project size during the quarter was pretty consistent with what that practice has experienced in quarters past. The Antitrust & Competition Economics average project size is typically larger on average than the company as a whole, but we did not see any kind of aberrations in terms of size during Q4.
Andrew Nicholas: Got it. Thank you. That’s helpful. And then SG&A was down pretty considerably compared to the prior year both as a percentage of revenue and also on an absolute dollar basis. So with that in mind, I was hoping you could speak to whether you expect any permanent changes to the cost structure post-pandemic now that you have nearly a year on your belt in this new environment? And any thoughts on kind of where you think real estate and T&E spend shake out in the long-term and how that impacts how you think about the margin profile in the out-years that would be helpful?
Paul Maleh: Sure. Let me begin by first addressing fiscal 2021. We still believe for the majority of fiscal 2021, we will be work-from-home, basically operating in a virtual environment. We hope towards the second half of fiscal ‘21 to start resuming a bit of normalcy in our company operations. So returning back to a normal set SG&A, for example, as we were in 2019, I still believe it’s probably 12 or so months out with that. With that said, there has been a lot of learnings that have happened over the past 12 months. And I think there are great opportunities for us to improve the efficiency of how we deliver corporate services to the company. So I think there are opportunities for margin enhancement. The exact level still remains to be seen, but historically, we were running at SG&A, excluding performance payments at right around 18% of net revenue. I think there is opportunities for a sizable reduction to that level going forward.
Andrew Nicholas: Great. Thank you. And then I wouldn’t – if you don’t mind, one more follow-up kind of tails off of your answer there, but just kind of thinking about 2021 from a macro perspective, obviously, there are million different factors that could impact performance. But just wondering kind of how you are thinking about the different macro drivers next year, whether it be M&A activity levels or the reopening of the court systems or more generally the overall economic backdrop this year and how that’s impacting your guidance? Thank you.
Paul Maleh: Yes. I think you hit all of them. So, our guidance does not assume another dip into the pandemic world in terms of a resurgence of high infection rates and a closing down of the economy. We assume basically, business as usual during the first half, being business during our 2020 pandemic year during the first half of 2021, with a planned return to the office during the second half of ‘21. So we’re still going to be virtual during that first half. We are still expecting the courts to be rather backed up, but hopefully, that the resurgence that we see in M&A activity will continue. There are a lot of positive signs to that, both from a macro standpoint and what we’re observing on a micro deal basis.
Andrew Nicholas: Great, Thanks, again.
Paul Maleh: Thank you, Andrew.
Operator: Our next question comes from the line of Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Good morning.
Paul Maleh: Good morning, Kevin.
Kevin Steinke: I wanted to start off by looking back at 2020 here. Kind of really remarkable when you look at it that you actually came in near the high end of your original pre-pandemic guidance for revenue, which clearly indicates that you had a lot of momentum coming into 2020 that you might have actually been able to exceed that original guidance. But any thoughts on kind of how much the pandemic slowed you down? Have you been able to measure that in any way in terms of the revenue impact? And trying to get a sense as to where you might have been able to end up, without all this happening, but that might be difficult, but just wanted to kind of get your thoughts on that.
Paul Maleh: Yes. As always, all the credit goes to my colleagues, really an extraordinary job on their part, both by their ability to deliver exceptional services to clients in this virtual world and also by their ability to continue to generate new business opportunities and new case originations. Yes, we entered 2020 with a great backlog. But without replenishing that backlog throughout the year and building on that, you would not be able to deliver double-digit revenue growth and even better profit growth as we have during Q4, so truly an exceptional job. We set out our guidance in 2020 with cautious optimism that we may be able to surpass that. We have, to the degree by which we could have surpassed that in a non-pandemic world is really hard to ascertain there, Kevin. But we were clearly bullish as we enter 2020 and are really pleased with how the firm has delivered on those initial expectations.
Kevin Steinke: Great. So as we think about the EBITDA margin or non-GAAP EBITDA margin guidance for 2021, I know you said it will take maybe 12 months to get back to kind of more normalized SG&A levels in terms of travel and what have you. But what – are we assuming – how much are we assuming comes back in 2021 relative to what your reduced run rate in 2020?
Paul Maleh: Yes. I’m going to go back to singing the accolades of my colleagues, because we basically did not see a margin contraction during 2020. And because we clearly saw lower utilizations, lower productivity and thus, higher cost of sales. But our consultants working with the corporate services side of our company, were able to largely mitigate those higher cost of sales with our bottom line profitability remaining unchanged. So it was great team effort on that part. The reason I raise both sides of that equation, cost of sales and on SG&A, because going forward, it’s really the combination of those two that will ultimately yield what we think will be improved profitability in the years ahead. On the cost of sales side, we are not operating optimally. We reported a utilization of 70% during Q4. And as you know, for several years prior, we are operating utilization levels in the mid-70s. So as utilization returns to more historical levels of productivity, so will the gross margin that comes with that. On the SG&A, like the question that Andrew asked us, we believe there are opportunities for efficiency gains as we resume a more normal level of business activity. The exact levels, I guess, are still remain to be seen, but we’re quite excited about our ability to expand margins towards the latter part of ‘21 and entering fiscal ‘22.
Kevin Steinke: Okay. What are you assuming in terms of how quickly utilization can come back as we move throughout 2021?
Paul Maleh: Right now, we’re just assuming a – hopefully, a gradual progression from Q1 all the way through to the end of the year, given the fact that our backlog doesn’t give us visibility that much more than 3 to 6 months out. It is really very difficult and speculative to start estimating utilization, say, in Q3 or Q4. But we’re happy of where our project inventory sits. We’re happy on the successes we’re having in the marketplace. So we have seen no reason to believe that we can’t get back to historical levels of utilization. It just may take 12 to 18 months or so to resume those levels.
Kevin Steinke: Okay, right. Makes sense. It’s interesting, you are – in the prepared comments you talked about completing office build-outs in New York and elsewhere. And that – it’s a little bit different from the commentary we’ve been hearing from another – of other companies, who are really retrenching with their office space and exiting leases and what have you. And so I just wanted to get your sense of how you view your real estate strategy longer-term and the culture, how that relates to your culture? And if real estate is something you’re contemplating in those savings you’re talking about going forward or if you plan to continue kind of as you were pre-pandemic?
Paul Maleh: I think throughout the pandemic, Kevin, we’ve tried to be as clear as possible in stating that we believe we are better together. We are better when we are all in the office and we will return to the office when it is safe to do so. That view hasn’t wavered as we’ve gone through. And I know there is some articles of some people – companies retrenching their real estate. But I’m also happy to see that there is also several articles of other companies stating and realizing the benefit of getting their people back under one roof. I just don’t know how you continue to build the fabric of an organization, how you continue to grow organically without being together. So we will resume our operations when possible, hopefully in the second half of ‘21. The real estate savings will come because we’re going to be more fully utilizing the space as we continue to grow. I believe in whether it was a call or 2 ago, right now, with the current build-out, our occupancy rate is right around 80% of our real estate portfolio. So we believe there is quite a bit of room there for us to grow without incurring additional real estate cost. So it’s not that the dollars we expect to decrease in the quarters and years ahead, but the percent of that expense relative to revenue, we do expect to decrease.
Kevin Steinke: Okay, great. That’s helpful. I lastly wanted to ask about just the pipeline for talent in this environment, if the pandemic disruption has maybe created more opportunities for you to find talent and how you’re thinking about hiring and adding to your talent as you move through 2021?
Paul Maleh: Yes. Throughout all my – this Q&A and the prepared remarks, has been sort of a celebration of the contribution of my colleagues. And I’ll begin by singing the accolades of Chad Holmes and his team, for his ability to continue to recruit in really difficult challenges. The reason CRA has been able to grow and grow consistently quarter-after-quarter, year-after-year, is because we’re able to attract top talent. We’re able to retain top talent and develop that talent. So very rarely are we filling holes associated with revenue departures. I think that’s a big part of our success. We have added key senior resources across the portfolio, across legal and regulatory and on the management consulting side during 2020. It is harder. It is harder because we’re doing all this virtually, there is no in-person meetings, there is no in-office meetings with these candidates. So the courtship is longer than we have experienced in pre-pandemic, but I think it’s pretty safe to say, I feel comfortable in saying that the pipeline that we have for talent opportunities is as rich now as we have seen over the last several years.
Kevin Steinke: Okay, great. Well and congratulations on the very nice results in this environment.
Paul Maleh: Thank you, Kevin. I think pretty nice results in any environment, but I appreciate the comment.
Kevin Steinke: True. Very true. Thanks.
Operator: Our next question comes from the line of Marc Riddick with Sidoti & Company. Please proceed with your question.
Marc Riddick: Good morning.
Paul Maleh: Hey, Marc. Good morning.
Marc Riddick: So I wanted to pick up on a little bit on the commentary around returning capital to shareholders, which you’ve been always kind of front and center about for quite some time, but I wanted to sort of pick up a little bit on what you’ve mentioned in your prepared remarks and maybe some of the thought process behind that around the percentage that you mentioned and sort of how that’s kind of evolved or how we should be thinking about how you are looking at that?
Paul Maleh: Yes. One of the comments, and maybe I’ll ask Chad to interject as opposed to me flipping through my script here, how much of our adjusted cash flows from operations grown in the last 5 years, Chad?
Chad Holmes: Last 5 years, it was 178%.
Paul Maleh: So our revenue has grown approximately 70% and our adjusted cash flow from ops has grown 178%. So we are generating more cash from those same dollars of revenues today than we were 5 years ago. And we think that cash provides us ample opportunity to still reinvest in the business, which has always been our top priority and increase the share of the take to our shareholders going forward. So this, by no means, is a retrenchment in our growth philosophy and our value creation through that growth. But we just think the improvement in net cash flow yield provides us the opportunity to increase those distributions to our shareholders.
Marc Riddick: Okay. That’s certainly encouraging. And then I was wondering if you could touch a little bit on the competitive landscape, maybe that you’re seeing abroad as opposed to maybe here in the States, it’s certainly encouraging to see that the growth is broad-based, both geographically and service offering wise. But I was wondering if you could touch a little bit on maybe some of the trends that we’re seeing outside of the States and maybe if there is anything that gives you confidence there?
Paul Maleh: Yes. I think our marketplace is filled with very competent set of competitors. So we are having to work hard to achieve the results that we are achieving. And what is nice is quarter-after-quarter it almost gets to be a throwaway line when we talk about broad-based contributions, but it is so true, we are practice centric our practices operate on a global basis. And we’re seeing those practices enjoy success, both here in the States and also abroad. And that goes from our Antitrust & Competition practice to our Life Sciences practice. We’re seeing them enjoy that success across both marketplace. Many of the same characteristics that we enjoyed – in the market that we enjoyed during Q4 also applied in Europe, M&A activity also saw improvement in Europe. Antitrust enforcement has probably been a bit ahead of the United States in prior years across the European Union there. So there are many factors that we’re benefiting from here in the States, also exist internationally. And the headwinds are really still all to do with the pandemic and a return to more normal business operations.
Marc Riddick: Okay. That’s helpful. And then I was wondering if you could touch a little bit, certainly, it’s appreciated you give the updates on maybe what you’re seeing and what you experienced from a litigation standpoint and then with the court filings and judgment activity and what have you. I was wondering if you could touch a little bit on the – do you get a sense – and this might be a bit anecdotal, but do you get a sense that the courts are becoming a little more efficient with more time under their belt and dealing with the pandemic? And I know you made mention of virtual activity and some of the the testimony that you folks have worked on. I was wondering if you get the sense that there is more efficiency from the courts themselves?
Paul Maleh: I think everyone – I think the courts are really trying on that efficiency. I can’t say I have noticed a discernible change or an improvement on that front. I do believe as the statistics bear out that the number of case filings seems to be steadily picking up on the legal regulatory side. So we do see that demand growing. But so far, I can’t say I have seen the court flow markedly improving.
Marc Riddick: Okay. And then I guess last for me, at least right now, I guess. I was sort of thinking about we’ve seen several things in the news that kind of – especially since the year began, around some of the cybersecurity challenges and some of the things that have maybe you made some folks take a pause as to what their needs are there. And I was wondering if maybe you could discuss a little bit about what you’re seeing and whether or not – I mean, it certainly seems that was already starting to begin with. But I was wondering if you got a sense of maybe does the phone ring more when you see these high-profile breaches in the line? Thanks.
Paul Maleh: Well, clearly, our phone has rang more, given the financial results we reported, and we’re very appreciative of that. But there is a lot of competition for those client dollars. So that’s why the reason I raised or highlighted the appreciation to my colleagues, because it’s them creating those business opportunities for our firm. We’re enjoying that inflow, but it is a very competitive market. And I think we are winning more than our share of those engagements. So it’s wonderful when the phone rings and we’re retained on the spot. But quite frankly, that is not as commonplace as more of the traditional competitive inbound.
Marc Riddick: Most certainly a strong way to finish it what has been a challenging year all around, so certainly, really appreciate that. Thank you.
Paul Maleh: No, thank you. Thank you. It has definitely been a challenging year. We’re very pleased with the financial results. Our shareholders deserve nothing less. And I think with the guidance we’ve provided and the anecdotal evidence that we have seen, we are quite bullish about how we are entering 2021. So again, thanks to everyone for joining us today. We appreciate your time and interest in CRA. We will be participating in virtual meetings with investors in the coming weeks and months, and we look forward to updating you on our progress on our first quarter call. Be safe, everyone. Thank you. And that concludes today’s call.
Operator: This concludes today’s conference. You may disconnect your lines at this time and we thank you for your participation.